Operator: Good day, ladies and gentlemen, and welcome to CenturyLink's Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference call may be recorded. I would now like to turn the conference over to Mr. Tony Davis, Vice President of Investor Relations. Mr. Davis, you may begin.
Tony Davis - Vice President Investor Relations, CenturyLink, Inc.: Thank you, Syed, and good afternoon, everyone, and welcome to our call today to discuss CenturyLink's second quarter 2016 results released earlier this afternoon. The slide presentation we will be reviewing during the prepared remarks portion of today's call is available in the Investor Relations section of our corporate website, at ir.centurylink.com. At the conclusion of our prepared remarks today, we will open the call for Q&A. As you move to Slide 2, you will find our Safe Harbor language. We will be making certain forward-looking statements today, particularly as they pertain to guidance for third quarter and full year 2016 and other outlooks in our business. We ask that you review our disclosure found on this slide, as well as in our press release and in our SEC filings, which describe factors that could cause our actual results to differ materially from those projected by us in those forward-looking statements. As you move to Slide 3, we ask that you also note that our earnings release issued earlier this afternoon and the slide presentation and remarks made during this call contain certain non-GAAP financial measures. Reconciliation between these non-GAAP financial measures and the most comparable GAAP financial measures are available on our earnings release and on our website at ir.centurylink.com. And now as you move to Slide 4, your host for today's call is Glen Post, Chief Executive Officer and President of CenturyLink. Joining Glen will be Stewart Ewing, CenturyLink's Chief Financial Officer, and also available during the question and answer portion of today's call will be Dean Douglas, CenturyLink's President of Sales & Marketing. Our call today will be available for telephone replay through August 11, 2016 and a webcast replay of our call will be available through August 25, 2016. Anyone listening to a taped or a webcast replay or reading a written transcript of this call should note that all information presented is current only as of August 3, 2016 and should be considered valid only as of this date, regardless of the date heard or viewed. And now as you move to Slide 5, I'll turn the call over to Glen Post. Glen?
Glen F. Post - President, Chief Executive Officer & Director: Thank you, Tony, and thank you all for joining our call today as we discuss our second quarter results and provide an update on our key operational initiatives, as well as provide guidance for next quarter and discuss our outlook in our business. As we begin on Slide 6, we had solid second quarter 2016 financial results. Our total revenue and core revenue were in-line with our guidance. We also did a good job managing our expenses during the quarter, which resulted in operating cash flow and adjusted diluted earnings per share that exceeded the top end of our guidance range. We continue to see good demand for our high-bandwidth data services from our Business customers, as revenue grew more than 8% year-over-year. And we grew year-over-year consumer strategic service revenue approximately 5.5%. So, overall, a very good quarter financially. On the other hand, our subscriber results were below our expectations, which I will discuss in more detail little later in the call. One last point before we leave the overview, the strategic review process for our colocation business continues to move forward and while we have work left to do, we remain optimistic about the level of interest and the prospects for a positive outcome. We expect to finalize this process in the late third quarter to early fourth quarter timeframe. As we've said previously, our principal focus is on the sale of all or a portion of the data centers, but we also have other alternatives should our process not result in a sale. We believe these are valuable assets and we are committed to realizing that value for CenturyLink and our shareholders, while continuing to provide a strong colocation service offering for our customers. Now let's turn to the discussion of our operational focus and the financial results. Continuing into Slide 7. As I shared with you last quarter, CenturyLink entered 2016 with a renewed focus on improving the lives of our customers by connecting them to the power of the digital world. This is an important reminder that our principal operational focus is providing our customers the network connections and related services they need to power their lives, their businesses and their communities. We will continue to provide a range of hosting, cloud, IT and managed services to our business customers and video and other services to our consumer customers. Our success in growing these services, though, is tied to our enabling and delivering excellent network connections and we are focused on four key operational initiatives to drive achievement of that key objective. So as we move to Slide 8, first, we're focused on driving penetration of existing network and adjacent capabilities. The network is the foundation of the value we deliver to our customers and we believe maximizing penetration of enabled network capabilities is critical to our success. This initiative is really about execution. We have enabled a great deal of capability into our network and we have to drive higher sustained levels of market penetration to earn an attractive return on that investment. We're seeing some positive results on this front as both business and consumer data revenues grew during the quarter and we achieved over 21% penetration of our year end 2015 GPON-enabled addressable units. The 8% growth we saw in business high-bandwidth data services was the result of strong growth in Ethernet and MPLS services in the second quarter 2016. We believe these trends validate the value and relevance of our service offering and we are working hard to expand and improve them. For example, in the business segment, our new sales and marketing leadership team has refined our customer base into more tightly targeted customer groups and key verticals, and is tailoring discrete product and the go-to-market strategies for each group and vertical. We believe this will improve our business customer engagement, and drive greater sales execution. We're also expanding the scope of our partnership channel to drive more sales through partnerships with major software and technology companies. On the consumer side, we're continuing to pivot toward the sale of higher speed, higher-value bundled offerings to better credit quality customers. These customers have a higher ARPU, lower churn and a much higher lifetime value than lower speed, lower credit, standalone broadband customers. We believe this is the right approach for the long-term health of our business, even though it does have an impact on broadband units, some of which we saw during the second quarter. As I referenced earlier, during the second quarter, our high-speed data customers declined by over 65,000. I'd like to make a couple of comments about those results. These broadband additions for the quarter were below our expectations driven, we believe, in part, by our focus on acquiring higher-value bundled customers and less emphasis on standalone broadband customers. We did expect broadband additions to be affected by the pivot away from the standalone broadband customers, but the impact was greater than we anticipated. From an out standpoint, about 20% of the decline was driven by a higher than expected number of slow and nonpaying customer churn. A significant percentage of the churn is related to standalone broadband customers who are less loyal than our traditional bundled customers. Also, there are underlying indicators of strength in the market, as we've seen a continued increase in the number of net adds at the 40 megabits and higher speeds which we expect will deliver future benefits through lower churn and higher ARPU. We expect unit trends to improve in the second half of the year as the effects of the changes in our go-to-market and customer retention programs begin to take effect. Moving now to investing with discipline and a network-first focus. As I said earlier, we believe the best potential to grow our business is to focus on enabling and delivering fast, reliable, technologically advanced broadband access and related services. And during the second quarter 2016, we continued to expand our capabilities. We believe we have enabled one of the largest deployments of Software Defined Networking, SDN and Network Function Virtualization, NFV, capabilities in the market. These technologies allow us to provide advanced network functionality and deliver much more efficiently than traditional deployments. Also in late June, we announced the launch of our CenturyLink SD-WAN, software-defined wide area networking service. Today, we have dozens of customers and proof of concept trials and are working over 100 potential sales opportunities. We will continue to invest to build this type of intelligence and efficiency into our broadband access network. From a broadband access standpoint, I want to take a few minutes to discuss our network evolution plan with you. What we think it takes to be competitive where we are today and our plans to ensure we are keeping pace both with customer demand and competitive market. First, I want to make a point about speed enablement. Our view is that we should always enable the highest speed that technology and market economics allow. We put fiber everywhere it makes sense to do so. But we also believe our access technologies, such as vectoring, bonding, and GFAS can deliver market competitive speeds when the cost of fiber deployment becomes prohibitive. Let me walk you through some of those numbers as we move to Slide 9. What you see here is an estimate of the bandwidth requirements of what we would describe as a heavy usage consumer customer, a household streaming six streams of HD video, including two streams of 4K video, a group HD call, a couple of HD gamers, multiple bit Torrent downloads, and multiple music streams. As you can see even in this relatively high usage case, which is well beyond the vast majority of users' activity, can be met with speeds of less than 100 megabits. And that aligns with our own experience. We see speeds of 40 megabits to 100 megabits as competitive today in virtually all of our markets. We expect that usage curve to continue to increase over time, moving to the 100 megabits or 200 megabits range over the next several years. And certainly there be users who will seek the gigabit connection, but for the vast majority of consumers, we see 100 megabits or 200 megabits as being more than sufficient to meet market demand for a number of years. With that in mind, let's move to Side 10 and take a look at where we are today with the broadband speed deployment and where our access enablement plan takes us over the next several years. We're confident we can accomplish these broadband speeds within the confines of our existing capital budget levels, and this is based on currently available compression and access technologies and average cost of deployment, which we hope will improve over time. By year-end 2018, we expect to enable speeds of greater than 40 megabits to 85% of our top 25 markets and to reach more than 55% of those markets with more than 100 megabits, with a lot of that improvement coming over the next 12 to 18 months. And while not depicted on this chart, across all of our markets, this will represent about 50% of addressable units receiving 40 megabits and higher speeds, and more than 30% of addressable units receiving 100 megabits and higher speeds by year-end 2018. By the time we get to year-end 2019, we expect to have almost 11 – or about 11 million addressable units, representing 42% of total addressable units across all of our markets, capable of receiving 100 megabits and higher. And in our top 25 markets, over 70% of addressable units are expected to have 100 megabits and higher speeds. At this time, we also expect to have approximately 3 million addressable units enabled for 1 gigabit and higher speeds across all of our markets. Obviously, changes in technology, cost of deployment, and market factors could cause us to reassess our actual deployment – to be a little lower or a little higher, but while these details may vary, the point is, we believe we can deploy very competitive speeds within our existing capital plans. And while our investment plans assume capital intensity at current levels over the next several years, we do anticipate our capital intensity to return to historical averages over time. As we move to Slide 11, our next operational initiative is to create exceptional customer experiences. As enabled speeds become more aligned among competitors and are more consistently in excess of the customers' needs, we believe customer experience becomes more relevant to the buying decision. Under our new sales and marketing leadership, we're intensifying our effort to go-to-market with a customer-focused approach. For example, we're in the process of reducing the many variations of one of our consumer products. This will result in fewer, easier-to-understand, and easy-to-provision offerings. This will improve our customer experience and drive efficiencies into our operations. We've also continued an intense effort to accelerate provisioning of our business network services, and we've seen a 25% improvement in Ethernet service intervals since the first of this year and increased order velocity by approximately 60%. Again, this improvement drives a better customer experience, drives efficiencies in our operation, and accelerates the order-to-cash cycle. Finally, we've increased the level of folks in our call centers in first call resolution for our customers. This focus on first call resolution is another change we believe may have affected our broadband additions for the quarter as we focused more on the customers' issues rather than selling, but we believe the improved customer experience will improve customer retention and improve revenue over time. Finally, our fourth operational initiative is to optimize operating and capital efficiencies. We know we have to continue to realign our legacy cost structure. I think our operating expenses for the second quarter show that we are focused on operating efficiencies. However, realizing the level of efficiencies we require will take more than just good cost management. We have several initiatives underway to drive even greater efficiencies. We simplify our product offerings; we are also in the process of simplifying our billing platforms. This is a complex, multiyear project that we believe will simplify our systems, infrastructure, improve our customer experience and deliver operating efficiencies. We're energized with this focus we are driving into our business. We believe we have a clear strategic direction, and by delivering on our key operational initiatives, we will successfully build on CenturyLink's history of delivering value for both our customers and our shareholders. Now, I will turn the call over to Stewart for discussion of our financial results and guidance. Stewart?
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: Thank you, Glen. Over the next few minutes, I'll review the financial results for the second quarter and provide an overview of the third quarter 2016 guidance we included in our earnings release issued earlier this afternoon. Now moving to Slide 13, I'll review a few highlights from our second quarter results. Please note that I will be reviewing some of the results excluding special items as outlined in our earnings release and associated financial schedules. As Glen mentioned earlier, we achieved solid financial results for the second quarter and operating revenues were $4.4 billion on a consolidated basis, a 0.5% decrease from second quarter 2015 operating revenues. This decrease was primarily driven by lower legacy revenues offsetting an approximate $50 million increase in high-cost support revenues due to CAF Phase 2 support, higher consumer strategic services and increased business high-bandwidth data services. I might point out here that as indicated in our release, this quarter we moved private line from strategic to legacy revenue. Prior quarters have been restated to reflect this change. Core revenue defined as strategic revenue plus legacy revenue was $3.97 billion for the second quarter, a decrease of only 1.2% from the year ago period. Our strategic revenues grew 5.2% year-over-year, primarily driven by strength in high-bandwidth data services and higher consumer strategic revenues. Operating income was $650 million, an increase of $101 million from second quarter of 2015. We generated operating cash flow of approximately $1.65 billion for the second quarter and achieved an operating cash flow margin of 37.5%. Cash expenses for the second quarter declined $48 million year-over-year, primarily due to lower employee-related costs. Free cash flow, defined as operating cash flow, less cash paid for taxes, interest and capital expenditures along with the cash impact of pension and OPEB cost, stock-based compensation and other income was $617 million for the quarter. Diluted earnings per share for the second quarter of 2016 was $0.36, an increase from $0.26 in the year ago period. Adjusted diluted earnings per share for the second quarter of 2016 was $0.63, an increase from $0.55 in the second quarter of 2015. Moving to Slide 14 in our business segment. In the second quarter, the business segment generated $2.6 billion of operating revenues, which decreased $61 million or 2.3% from the same period a year ago. Second quarter strategic revenues for the segment was $1.23 billion, an increase of 5% compared to second quarter 2015, and was driven primarily by the continued growth in high-bandwidth data services, partially offset by the decline in hosting revenues. In addition, we had a one-time favorable settlement of approximately $10 million. Legacy revenues for the segment declined 7.4% from second quarter 2015, due primarily to a continuing decline in voice and low bandwidth data services. Our data integration revenues declined $20 million from second quarter 2015, due primarily to lower CPE sales. Total business segment expenses decreased $17 million, or 1.1% from the year ago period, driven primarily by lower employee-related and network expenses partially offset by higher facilities costs. Now turning to Slide 15, the consumer segment generated $1.49 billion in total operating revenues, a decrease of $9 million, or 0.6% from second quarter 2015. Strategic revenues in this segment grew 5.5% year-over-year to $800 million, driven by year-over-year growth in broadband and Prism TV revenues. Legacy revenues for the consumer segment declined 6.8% from second quarter a year ago as access line declines were partially offset by select price increases. Operating expenses increased $18 million, or 2.8% compared to the same period a year ago, due to higher Prism TV costs, commissions and marketing expenses, partially offset by reductions in employee cost from lower head count. Now turning to Slide 16. For third quarter 2016, we expect operating revenues of $4.35 billion to $4.4 billion, core revenues of $3.9 billion to $3.95 billion, and operating cash flow between $1.56 billion and $1.61 billion. Adjusted diluted EPS is expected to range from $0.52 to $0.57. Third quarter 2016 operating revenues are expected to be lower than second quarter 2016 operating revenues, primarily due to anticipated growth in data integration, high bandwidth data services, broadband, and Prism TV revenues being offset by the expected decline in legacy revenues. Our anticipated sequential decrease in third quarter operating cash flow compared to second quarter is primarily due to the decline in revenues and expected higher normal seasonal costs. In addition, we expect to have higher than originally anticipated network, sales and marketing costs related to our customer growth plans for the back half of the year. Although we do not provide free cash flow guidance on a quarterly basis, I want to point one additional item as you're thinking about first half versus second half trends. As you all are probably aware about the news media, earlier this year, we experienced record flooding in Louisiana, and as a result, many parishes in the state were declared as federal disaster areas and eligible for federal relief. As part of this relief, federal and certain state cash taxes related to our first and second quarter tax estimates were delayed until the third quarter of 2016. For full year 2016, we slightly narrowed our cash taxes estimate to be $400 million to $500 million, and again, most of this will be paid in the last six months of the year. For full year 2016, we remain comfortable with our previous guidance, although due to the higher expenses outlined earlier, operating cash flow will likely come in towards the lower portion of our range for the year. We continue to expect our dividend payout ratio, however, to be in the low to mid 60% range for 2016. This concludes our prepared remarks for today. So, at this time I'll ask the operator to provide instructions for the question-and-answer portion of our call.
Operator: Thank you, sir. And our first question comes from David Barden from Bank of America. Your line is open. Please go ahead.
David William Barden - Bank of America Merrill Lynch: Hi, guys. Thanks for taking the questions. I guess, first question for you, Stewart, is obviously the math of the EBITDA guidance. Even if we look at the very low end of the EBITDA number and do the math for the first three quarters including the midpoint of 3Q guide, it would imply like a 6% increase in 4Q versus 3Q EBITDA. You did have about $178 million of sequential cost cuts last year in the fourth quarter, but you had a very specific program that you were implementing in the second half of the year. Could you kind of talk about why we can get comfortable with that mathematics? And then, again, just on the – I know you don't give the free cash flow guidance, Stewart, but you generated about $1.4 billion to date, the midpoint of the guide is 1.9%. Is the entire difference really the cash tax payment's timing or does it seem to be kind of steering to the higher end of the range for whatever reason? Thanks.
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: Yes. So, David, the last question first. Basically it's partially cash taxes in the last half of the year, but it's also CapEx because we will spend more CapEx in the last half of the year than we did in the first half of the year, as well as our operating income or our operating cash flow will be expected to decline somewhat in the second half of the year as well. With regard to the first question, you are correct, but last year, as you pointed out, we cut expenses about $125 million between the third and fourth quarter. We feel comfortable that with coming off seasonality from the third quarter, we'll have a normal reduction in expenses in the fourth quarter, plus we will have programs in place to allow us to be able to cut operating expenses to come in within the guidance range that we're staying with.
David William Barden - Bank of America Merrill Lynch: All right. And can you kind of map out some of the specific plans that you have that are going to get you there?
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: I guess, we're still working on a few of the things, David, but normally, I mean, just from a seasonality standpoint, there's probably $60 million to $80 million that comes out of the – that will come out of the fourth quarter this year related to seasonality between what we expect in the third quarter versus what we would expect in the fourth quarter. So the fourth quarter programs don't have to be quite as robust as they were last year to get us to the $125 million or so that we experienced last year. Also, we'll have somewhat of a decline in marketing expenses in the fourth quarter because we're ramping up some marketing expenses in the third quarter and we expect that to come back down a little bit in the fourth quarter as well.
David William Barden - Bank of America Merrill Lynch: And I apologize, Stewart, one last one, just a clarification. So, last quarter when you guided down from 1Q to 2Q, you kind of cited seasonal cost pressures which didn't materialize and you ended up above the high end of the range. Are we actually seeing the seasonal expenses coming through now that are more likely or are you expecting these kind of seasonal costs to come down the pike?
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: Yeah. So about $20 million in the second quarter and about $30 million or so in the third quarter.
David William Barden - Bank of America Merrill Lynch: Got it. Okay. Thanks, guys.
Operator: Thank you. Our next question comes from Amir Rozwadowski from Barclays. Your line is open. Please go ahead.
Amir Rozwadowski - Barclays Capital, Inc.: Thank you very much. I wanted to follow up on the commentary around the capital intensity. It sounds like the way we should think about it is, based on your investment plans, you do expect capital intensity to be up for the next several years. How should we think about it in terms of magnitude? And at what point do you expect capital intensity to return to historical averages over time?
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: Yeah. Amir, I was not saying that the capital intensity would be up. It just won't come down for a couple of years, two, three years, as we spend – you know, we've had – our capital intensity has been a little higher than the industry for a couple of years and we expect that level to continue. We do not – we believe we can hit these objectives in terms of broadband speeds, improving the network and enhancing the network with SDN and the other services that we're putting into the network, all the technologies within the current capital budget, which is about $3 billion today.
Amir Rozwadowski - Barclays Capital, Inc.: Got it. That's very helpful. And then, I was wondering if we could talk a bit more on the subscriber trends on the high-speed data customers. It sounds like there's a shift in terms of focus on the bundled offering in terms of those types of subscribers. But, I seem to recall, in your last call, you did mention that there was a deferral in certain price increases that you had hoped to get out of the high-speed broadband. Just trying to put two and two together there. Is there any color that you can provide us in terms of the competitive landscape or what you are seeing from that front that gives you confidence that you can still return to targeting those higher value bundled customers?
Glen F. Post - President, Chief Executive Officer & Director: Do you want to take that one? I'm going to let Dean Douglas.
Dean J. Douglas - President-Sales & Marketing: So, actually, there are two issues here. So the first issue is with regard to the trend towards or shift that we are going to make or are making towards bundled customers. So that's an initiative we've started and continue to pivot our customers from a pure or single-focused high-speed Internet type of customer towards one which is bundled. That is something that drives better ARPU, as well as a longer lifetime revenue base for that customer. The second piece, though, is with regard to the price increases. The price increases, we saw some of the price increases take effect in the first half and we're continuing to drive some of those price increases into the second half, and we'll see those manifest themselves in the second half as well.
Amir Rozwadowski - Barclays Capital, Inc.: Got it. Thank you very much for the incremental color.
Operator: Thank you. Our next question comes from Phil Cusick from JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hi, guys. Thanks. Just to follow up, excuse me, bundled customers, what does that mean? What are you bundling? Because your video reach just isn't that wide. Are you looking to bundle with voice? What should we be thinking about here?
Glen F. Post - President, Chief Executive Officer & Director: Sure. We're primarily looking at double- and triple-play. So it includes voice and other services that we would bundle with our high-speed Internet. And as I mentioned, those customers tend to stay with us much longer than those that are just that pure play.
Philip A. Cusick - JPMorgan Securities LLC: Okay. And then it looks like the managed hosting business continues to decline here. Can you talk about any color around that, as well as the sort of data center sale process? Any update there, either in terms of the process or thoughts on how to use the proceeds? Thanks.
Glen F. Post - President, Chief Executive Officer & Director: Yeah. First of all, the process is going well. We have narrowed down the group of final contestants for the property and we have ongoing discussions, negotiations with that group. We feel good about where we are headed there and we think we'll be successful in getting the transaction done. Again, as I said before, it will be, third quarter, maybe early fourth quarter before we finalize a transaction. We have not yet made final decisions regarding the use of proceeds from that. We'll address this as we get closer to a transaction. We'll obviously consider a number of alternatives, stock buybacks, debt reduction, investment and strategic services, and other possible areas. We just haven't – we're waiting until we get a little closer to the close to really decide how to best spend those funds. So our primary goal, of course will be to utilize the cash in the very most effective way we can to drive long-term shareholder value. That will be our objective.
Philip A. Cusick - JPMorgan Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from Simon Flannery from Morgan Stanley. Your line is open. Please go ahead.
Spencer S. Gantsoudes - Morgan Stanley & Co. LLC: Hi, it's Spencer for Simon. Thanks for taking the questions. Just two if I may. Can you update us on what you are hearing in terms of the latest on special access? And then second, what's the latest outlook for returning to revenue break even? Thanks.
Glen F. Post - President, Chief Executive Officer & Director: Well, special access, we're working with the FCC. It's a complex issue. It deals with the provisioning of wholesale special access service to wireless providers and to carriers, CLECs. In our discussions with the FCC, we've been in continuous discussions with them. We believe that they intend to move on an order to move it to resolution this year. They have obviously a limited amount of time to do so. They are trying to move quickly. We're in conversation with almost all the industry stakeholders including the cable companies, CLECs, other industry players in hopes of negotiating a workable solution that we can bring to the FCC to achieve a balanced reform. The FCC order will likely address the definition of competitive and noncompetitive markets, as well as prospective rates charged to carriers and CLECs and wireless providers. We are on record and in direct conversations with Chairman Wheeler and other commissioners that the vast majority of our markets are fully competitive and that those rates should not be regulated. So that's been a major position of ours and we think we have – we can show that. We believe the commission is using data from cable TV companies that is three years old and the cable companies have actually said this data is not really correct. So we are encouraging the commission, really, to step back and use the most recent data that's available out there to make these decisions. Because of the many paths that this special access really could take, we are not ready to provide a range of possible outcomes. It's just too complex. We do expect to know more in a few weeks. We are cautiously optimistic that some form of compromise can be reached that the FCC can work with to achieve some of their objectives and make this palatable for all the players. We know change has to take place, but we believe there are ways to do it without being punitive to any specific group of players here.
Spencer S. Gantsoudes - Morgan Stanley & Co. LLC: Thank you. That's helpful. And then, just in terms of updating your comments in terms of, I think, at the end of 2015, you were talking about revenue break-even in 12 months to 18 months. Is that still part of the plan?
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: Yeah. And, Spencer, we still think that there's a possibility that by the last quarter of the year, we could get to potentially revenue stability, and would still expect EBITDA stability to come 18 months or so probably after that. As we've stated before, our results won't be perfectly linear. But we're confident that we are on a path to get to revenue stability and growth and EBITDA stability and growth as well.
Glen F. Post - President, Chief Executive Officer & Director: I'd add one comment related to a prior question on the bundling. We are bundling our services with DirecTV services, video services where we don't have Prism TV services available. We're also about to trial an over-the-top product. We've had one trial and we're going to have another more robust trial of a over-the-top product that we expect to be able to bundle, and we are bundling voice as well.
Spencer S. Gantsoudes - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Thank you. Our next question comes from Frank Louthan from Raymond James.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. First, can you talk to us a little bit about the consumer products that you say you are rationalizing? What exactly is going out there? And then, Stewart, I'd like to follow-up on what you said about the OTT product. What will that look like? Will that be a similar – taking Prism as an OTT and avoiding a set-top box or something like that, or a smaller, skinnier package? Give us a little more color on that.
Dean J. Douglas - President-Sales & Marketing: Okay. So, first of all, with regard to product consolidation rationalization, we're going to take 40 speed products, as an example, down to seven. So that's the extent or the level of rationalization that we're going to go forward with in our consumer products. You can imagine the complexity when you've got 40 different product offerings to speeds, and so we really do need to rationalize those. With regard to the OTT or the over-the-top products, we are going to be going forward with skinny bundles, and so as was mentioned just a moment ago, we piloted this in one market and we expect to go forward with a broader pilot towards the end of the year and really test the market in terms of pricing as well as the ability to penetrate the marketplace with this OTT offering to compliment what we have in the Prism markets.
Glen F. Post - President, Chief Executive Officer & Director: I might add to that Dean, with the skinny bundle, we'll also offer the broadcast network channels with that, which is a little different from a lot of – some of the offers that are out there today. So we think that will be a differentiator as we bring those local channels with the over-the-top cable channels.
Dean J. Douglas - President-Sales & Marketing: And it will be an app-based product, Frank, so that you can access it through an app on your smart TV.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Got it. Thank you. Too bad they won't let you do that kind of rationalization with some of the regulated voice products, but thanks for the questions.
Glen F. Post - President, Chief Executive Officer & Director: Right.
Operator: Thank you. Our next question comes from Matt Niknam from Deutsche Bank.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the questions. Just two, if I could. One, you mentioned refining your go-to-market strategy in both consumer and business. Maybe if you can give us some more color on what's actually going on there and when you expect these efforts to produce results and improved volumes and revenue growth? And then just on broadband, if you can help us think through the pressure this quarter, whether it was more of a gross add or a churn issue? And I have one more follow-up. Just in terms of trying to figure out the impacts from the deferral of rate hikes that was discussed, whether those actually have come through yet or not? Thanks.
Dean J. Douglas - President-Sales & Marketing: Okay. So, with regard to refining the go-to-market, what we've done is we've transitioned from a go-to-market that is really driven by product to a go-to-market that's more market sensitive and market focused. So, customer groups, much more than product groups. And so, for example, we've got seven routes to market in our new go-to-market construction, and so they've got large accounts, SMB and so on. A lot of those, to differentiate not only the product offerings we take to those market segments, but also how we bundle or create product groupings, solutions, that we're going to take to the marketplace as well. So when we think about the markets in the large account space, what we call global markets, it's one that really is driven by vertical market penetration. So we've got a couple of vertical markets that we're going forward with today. We'll be adding more as we go forward. Those vertical markets, especially for large accounts, are absolutely essential in order to create credibility and strong relationships with our customer base. So that's where we are with regard to the go-to-market in the business space and how we're going to address those market opportunities. We are starting to see some traction in the marketplace, and I believe that the market structure that we've implemented today is something that our customers have looked for, in not only our business, but in our competitors, and I think we're seeing that benefit in the way in which we are interacting with our customers and the opportunities that we're seeing in the marketplace for those solutions.
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: And then regarding the pricing increase that we talked about, almost very, very low first half of the year. We saw almost none come in. But second half of the year, we expect a little less than $10 million in the second half of the year in price increases. That's about 20% of the increase we are putting in place. We should see the rest of that in 2017.
Matthew Niknam - Deutsche Bank Securities, Inc.: Okay. And then on the broadband activity for the quarter, whether parsing through gross adds versus churn, if you can give us any more color there?
Glen F. Post - President, Chief Executive Officer & Director: Do you want to answer that?
Dean J. Douglas - President-Sales & Marketing: Yeah. So with regard to the ins and outs, so we had a pretty significant number of ins on our business. We continue to sell, especially in the – as was mentioned earlier, in the 40 megabit space. And so our customers are really looking forward to greater speed and bandwidth as we go forward. We also saw that the pure customers continued to churn. And we've talked about that. The churn level for our pure customers, or standalone high-speed customers, is double that of what we were seeing in those bundled customers. So very, very significant churn rate in those customers. So we saw a significant number of outs in that pure space.
Glen F. Post - President, Chief Executive Officer & Director: Matt, if you look at the overall broadband losses, it was about 50% due to the lower end and about 50% due to increased churn. So it's about 50% both ways. Pretty well balanced as far as the impact.
Matthew Niknam - Deutsche Bank Securities, Inc.: Got it. Very helpful. Thank you.
Operator: Thank you. Our next question comes from Amy Yong from Macquarie. Your line is open. Please go ahead.
Amy Yong - Macquarie Capital (USA), Inc.: Thanks. Two questions. So first on just operational efficiencies and, as you have agreed, I guess the business and consumer segment, what kind of margin expansion should we expect in 2017 and 2018? And my second question is on the data center, the strategic return. What type of considerations would do real – I guess an outright sale and point you to perhaps staying in the colocation business? Thank you.
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: First of all, with respect to margins, we're going to continue to see some margin decline in the consumer segment because basically we will still be losing the legacy revenue that's higher margin, and the revenue that we are adding will be more strategic revenue in nature. To the extent that's video, the margin on that is substantially lower. To the extent it's high-speed Internet, that margin is better. So, overall the margin will continue to come down some. The important thing, I think, is that over time we intend to be able to grow revenue and stabilize EBITDA and really start growing both revenue and EBITDA on a consolidated basis.
Glen F. Post - President, Chief Executive Officer & Director: And regarding the data center business, we expect – fully expect right now that it will be a sale; however, so we are not limiting ourselves to that. The colo business continue to be an important part of our future, and we will be in the managed services business. We have big data capabilities. We're in managed hosting, so all those [indiscernible] having data center capabilities – colo capabilities. So we will continue to be in this business. However, we think there are opportunities to approach it differently if we don't have a sale. We think there are partnership opportunities that would reduce the load as far as the capital requirements on CenturyLink. And we can do partners with other companies or ways to share overheads with other companies. So we have a couple of partnership opportunities we think are legitimate, real that could be beneficial for shareholders if we don't get the valuation from a sale that we expect that we require.
Amy Yong - Macquarie Capital (USA), Inc.: Great. Thank you.
Operator: Thank you. Our next question comes from Mike McCormack from Jefferies. Your line is open. Please go ahead.
Mike L. McCormack - Jefferies LLC: Hey, guys. Thanks. I guess, Glen, just thinking about the high-speed database that currently exists. You talked about the single play and the higher churning, I guess, nonpaid discos. When you think about your overall subscriber base, is there a percentage of that base that you think could be at risk as we think about progressing over the next few quarters? And then, I guess just on the speed offered by cable competition or others in that top 25 markets, how does that stack up against the way you guys are thinking about CenturyLink for the future?
Glen F. Post - President, Chief Executive Officer & Director: Yeah. Mike, first of all, on the – as far as the base at risk, we still have a lot of pure play standalone Internet customers out there that we expect to impact us going forward. We think by early second half of the year we should be filtered through those to a great degree and we'll see that churn rate and that falloff come down. We'll see more stabilization and an increase in ARPU at that point. So, there's some still out there, but it's early second half of the year we should see that subside quite a bit, the impact of that. As far as the speeds that we are projecting, certainly in some markets the cable company roll out higher speeds. However, we have a lot more GPON out there than anybody – than anyone has, any of the cable competitors have. We have 40 megabits, so we're 30% of our markets today, that's going up significantly. We expect to have close to 4 million homes with access to 100 megabits or more by year end, homes and businesses. So we believe we can be very competitive. We don't feel we have to compete on just speed, but on service, on the service of our products we are selling. And that's the chart I showed you. We showed earlier that if you can get the same service level with lower investment, lower speeds, then we think that's the right thing to do. We don't think we should go out and invest for the sake of investing where it doesn't make sense in low density markets. Again, as I said, everywhere we can take fiber economically, we are going to do it, but that's not going to be in all of our markets by any means.
Mike L. McCormack - Jefferies LLC: Great. Thanks, guys.
Operator: Thank you for calling. Our next question comes from Tim Horan from Oppenheimer. Your line is open. Please go ahead.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Hey, guys. Two questions. Where do you think the low end broadband subscribers are going? I would think you would have prices at the lower end that are quite a bit below cable. Is that the wireless? And maybe just at a high level, how do your broadband prices compare to cable at this point? And then secondly, can you give us some more color on SDN and NFV? It sounds like you're deploying it very aggressively, what your experience has been to date, maybe what kind of suppliers you are using or where you've seen the most OpEx and CapEx savings with SDN and NFV? Thank you.
Dean J. Douglas - President-Sales & Marketing: So with regard to the first part of your question, where do we think the low end broadband subscribers are going? We think they are increasing their speeds. They are moving up speed in the marketplace. There probably are some cord cutters, but we don't see that as being very, very significant at this juncture. We really do see them increasing their speeds. With regard to SDN, NFV and the approach that we're taking, we've got several pilots in place today. We're looking at broader market or geographies for those customers. And we're really thinking about the reach that we get from the SDN, NFV implementations versus the way in which we are traditionally going after the MPLS and Ethernet marketplaces. And that ability to take our network and provide significant services beyond just what's offered today, in MPLS and in the Ethernet marketplace across a broader geography is what's compelling for our customer base at this juncture.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): And how do you think your base broadband prices compare to cable prices at this point?
Dean J. Douglas - President-Sales & Marketing: We believe that our prices are lower than the cable offerings at this juncture. Of course, that's during the promotional period.
Timothy Horan - Oppenheimer & Co., Inc. (Broker): Thank you. Sure.
Operator: Thank you. Our next question comes from Brett Feldman from Goldman Sachs. Your line is open. Please go ahead.
Brett Feldman - Goldman Sachs & Co.: Thanks. Just two questions. First on the skinny bundles that you're going to be rolling out; I'm curious whether there are any caps on your programming agreements, sometimes that's a key tradeoff that you get with the programmers in order to have a more limited bundle. And then second, on the third quarter marketing initiatives that you're planning that's going to put a little upward pressure on spending, I just want to come back to that. What is the outcome you are looking to achieve and why are you containing that to the third quarter?
Glen F. Post - President, Chief Executive Officer & Director: We'll let Aamir Hussain, our CTO, answer the first question about skinny bundles.
Aamir Hussain - Chief Technology Officer & Executive VP: So, the key for getting the skinny bundles to work is having the right level of programming agreements in place. Today on Prism TV service we buy through NCTC. When we launch our TV over-the-top offering, that offering we are negotiating brand new agreements with the broadcasters. And those agreements are not bound by any caps or by franchise agreements. So these are non-franchise-type agreements. They allow us to pretty much have a nationwide reach. And the top four or five, we are doing very, very well on those agreements and we really, really feel very comfortable with the timeline that we have provided. I would also add that skinny bundles are not just about skinny. We are – we will be offering multiple genre of packages on top of that. And that will have a very, very positive impact on our ARPU at a cost point which makes sense for the consumer.
Brett Feldman - Goldman Sachs & Co.: Okay. And on the...
Dean J. Douglas - President-Sales & Marketing: With regard to the marketing efforts and the greater intensity of the marketing spend, in the third quarter, actually, we are looking to not just drive that, the third quarter, but going forward, and so we are going to have a set of marketing programs that will continue to drive our high-speed broadband businesses, but it's not all incremental. The fact is that we're taking some funds from other marketing programs that are no longer justified and moving them to this increased spend as we go forward. And it allows us to continue to drive our broadband services, especially for those higher end customers.
Brett Feldman - Goldman Sachs & Co.: And what is the metric that's going to tell us if it's working? Is it as simple as looking at an improvement in the broadband net adds?
Dean J. Douglas - President-Sales & Marketing: It would be an improvement in the broadband net adds. Obviously, that's the primary metric in the consumer space. And by way, when we talk about improvement in the net adds, it's traditional, where the bundled approach as opposed to those pure plays.
Brett Feldman - Goldman Sachs & Co.: Do you anticipate that in aggregate your broadband sub-base will be growing sequentially in the back end of the year? Or do you still have a little bit you have to work out of the system?
Dean J. Douglas - President-Sales & Marketing: We still have to work some out of the system with regard to the churn that occurs in our pure or standalone play. We will see that play out through the third quarter, and then we expect that we'll start to see an improvement in the subsequent quarters.
Brett Feldman - Goldman Sachs & Co.: Great. Thank you.
Operator: Thank you. Our next question comes from Batya Levi from UBS.
Batya Levi - UBS Securities LLC: Great. Thank you. A couple of follow-ups. First on the guidance for revenues, you had guided to the low end of the guidance range, partly because you had decided not to increase prices. Now that you are taking some selected price increases, can we expect a little bit of a move on the annual revenues? And maybe within that, can you talk about what you are seeing in the wholesale business, both from a wireless backhaul perspective, and other wireless contracts. Some of your peers saw some pressure there. What are you seeing in the market? And third question on CapEx. You said that you expect capital intensity to remain at current levels for a few years, which is about 17% of sales. And then what is a more normalized level that you can get back to? Thank you.
R. Stewart Ewing - Executive Vice President, Chief Financial Officer and Assistant Secretary: So, Batya, with respect to the revenue guidance, we still believe we'll be at the lower half of the range that we gave for the full year. The price increases that we expect to do – and by the way, we did price increases in the first half of the year. I just want to make that clear. The $40 million is what we effectively deferred and decided not to do that we had previously planned when we originally gave our 2016 guidance. Some of that we'll implement now, but the impact of that on the last half of the year is going to really be pretty immaterial. We hope to have some increases in our sales of CPE, which would help improve our revenues somewhat in the back half of the year.
Glen F. Post - President, Chief Executive Officer & Director: And then on the wholesale business, pressure on wireless backhaul, there continues to be pressure on wireless backhaul. It's very competitive. There's a lot of players out there. The wireless companies have alternatives. So it is continual negotiation going on. Of course, we had a major reduction last year that we talked about this time last year in terms of wireless backhaul agreements, but it's an ongoing issue. We think we can be competitive. We don't expect any major impacts this year, but these negotiations are continual with the wireless carriers and it's very competitive. The more normalized level of CapEx we can get to, we think there's $300 million or $400 million come out easily out of the $3 billion, so we think $2.5 billion level is certainly achievable, maybe less. It depends on what the opportunities are in terms of driving – or investing the technology that can drive revenue and margins. But right now we think a more normal level being closer to the $2.5 billion mark.
Batya Levi - UBS Securities LLC: Okay. Thank you.
Operator: Thank you. And our next question comes from Michael Rollins from Citi. Your line is open. Please go ahead.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Hi. Thanks for taking the question. I was just wondering if I could follow back up on some of the CapEx points that you are making. The first thing is, when you talked about the use of proceeds – possible proceeds for the possible data center sale, you mentioned, I think, reinvestment as a category, and I don't think you've mentioned that in some of the past calls. So, can you talk us through if you did have more capital available, where you might want to put it, how much you think you could invest to have impact on the revenue line and the operations longer term? And then just finally, on data speeds, how much of your customers make decisions based on what they feel they need in terms of speed versus what they are marketed to and what they feel is better for them? And then can you talk us through your strategy to address the way customers are buying the services? Thanks.
Glen F. Post - President, Chief Executive Officer & Director: Mike, first of all, the mention of the reinvestment, we consider that in every – we look at cash flow of any kind. That's part of the consideration. So I wasn't trying to say, well, that's a change. We look at, as I said, we look at stock buybacks, debt reduction, investments and services and other areas of acquisition. We put all the opportunities in there, but the focus again is driving the long-term shareholder value. So, just to give you an example, there may be an opportunity to invest in a certain type of technology we believe could drive short and near term returns, drive real value for us, offset some capital expenditures, offset some of the cash investment in the CapEx. So that's the kind of thing we look at, but there's no change in what we said before.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And if you did have more capital or just cash coming in, is there a certain amount that you feel like you could deploy in the business that would be catalytic for better performance?
Glen F. Post - President, Chief Executive Officer & Director: We really haven't made a decision. Certainly there are opportunities there to invest in the business. There's no question about that. We haven't made any decisions as far as should we invest back into the business with some of the funding that comes from the sale of the data center. We just haven't made those decisions yet, but those opportunities are certainly there.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): And then just lastly back to my question on how your customers buy services. And in terms of, how you feel they are making the decisions – do you see them making decisions on what they actually need or do you think it's more of a marketing situation where they might be captivated by the advertisement of better speeds and how you are marketing to your customers based on how you see the decision making process working?
Dean J. Douglas - President-Sales & Marketing: So as you would expect, in the marketplace, there's an over emphasis on speed. And even though the speeds may be well above what the customers' requirements are, there's still that desire to get as much speed as possible. But we have an advantage that, for example, our cable competitors do not have in that we are not shared, and our cable competitors are. And so what we really focus on is the real speed that the customer is going to get, and what they really need going forward from a broadband standpoint and that seems to be very, very effective in communicating to our customers what their real needs are versus what the advertised speed might be in the best of circumstances. And then, of course, the other piece of the whole speed equation that we try and educate our customers about is the symmetry of speed. So we've got upload and download speeds that are similar, and we're not seeing that in our cable competition. So we talk about that upload and download speed with our customers and the fact that it's symmetrical.
Glen F. Post - President, Chief Executive Officer & Director: And Mike, one thing I might point out on that as well is that, we've always competed with the cable companies at a speed disadvantage and we've always been successful adding customers over the years. And with the network expansion and the emphasis on the network and improving the broadband speeds from a relative standpoint, we will be competing at a much better position than we've been at in the past, and, again, we've been successful in the past. So there's no reason to think we shouldn't be successful in the future with the focus and the emphasis that we're putting on investing in the network to increase our speeds.
Michael I. Rollins - Citigroup Global Markets, Inc. (Broker): Thanks very much.
Operator: Thank you. I'm showing no further questions at this time. I would like to hand the conference back over to Mr. Glen Post for closing remarks.
Glen F. Post - President, Chief Executive Officer & Director: Syed. And I believe CenturyLink is well positioned to help our customers realize the promise of the power of the digital economy that we talked about. We'll continue to invest in our broadband network and expand our broadband capabilities that we discussed today, that we believe will help meet our customers' needs, help them improve their lives, grow their business. We continue to see excellent opportunities to beat business customer demand for high bandwidth data hosting and IP and managed services. We think that we're going to see that demand grow in the months and years ahead. Additionally, we are focused on meeting the broadband and video demand we see for consumer customers and are investing to deliver those services that they want and need as we've also discussed today. We have a strong set of assets and we have the financial strength that we believe position us well to invest in our future and to grow our business. So, thank you for being on our call today. We look forward to speaking with you in the weeks and months ahead. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes our program for today. You may all disconnect and have a wonderful day.